Operator: Good day, ladies and gentlemen, and welcome to the Q4 2015 Prestige Brands Holdings, Inc. Earnings Conference Call. My name is Leanne, and I will be your operator for today. At this time, all participants are in a listen-only mode, and we will conduct a question-and-answer session towards the end of this conference. As a reminder, this call is being recorded for replay purposes. I'd now like to turn the call over to Dean Siegal, Director of Investor Relations. Please proceed.
Dean P. Siegal - Director of Investor Relations & Communications: Good morning and welcome. As a reminder, there is a slide presentation which accompanies this call. It can be accessed by visiting prestigebrands.com, click on the Investor link and then on today's Webcast & Presentation. I am required to remind you that during this call, management may make forward-looking statements regarding their beliefs and expectations as to the company's future business prospects and results. All forward-looking statements involve risks and uncertainties which in many cases are beyond the control of the company and may cause actual results to differ materially from management's expectations. You are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date of this conference call. A complete Safe Harbor disclosure appears on page 2 of the presentation accompanying the call. Additional information concerning the factors that might cause actual results to differ from management's expectations is contained in the company's Annual and Quarterly Reports, which it files with the U.S. Securities and Exchange Commission. Now, I would like to introduce Matt Mannelly, CEO; and Ron Lombardi, CFO.
Matthew M. Mannelly - President, Chief Executive Officer & Director: Good morning. Thank you, Dean, and thank you, everyone, for joining us this morning. We appreciate it. As Dean said, as we usually do, we will be operating of a PowerPoint presentation. So with that, I'll ask you to move to slide 3. The agenda for today will be – I will talk about the fourth quarter FY 2015 highlights. I'll also step back and talk a little bit about the year since this is a year-end. Ron then will step in and give you a little more detail on the financial overview as well as take you through the FY 2016 outlook and the road ahead, which is appropriate given the transition. So with that, I'll ask you to turn to slide 5. I think for us, obviously, we're very pleased with the fourth quarter results. I think as importantly, we're very excited about the business fundamentals, and how we achieved those results, we'll talk a little bit about. But our Q4 revenue of $190 million is up almost 33% versus the prior year. Our organic growth on a constant currency basis is up 2.4%, which as the second quarter in a row, we come in very strong. Our core OTC consumption growth excluding PediaCare is up 7%, and total core OTC is up 3.3%, and as importantly, which I'll talk about a little bit later on, we've really seen broad-based growth across the entire core OTC portfolio. In addition, we continue to make progress on the gross margin front, and you can see that we're up almost three points versus the gross margin last year's fourth quarter and we're also up 0.7 versus the third quarter which we're quite pleased with. In terms of earnings per share of $0.47, it's up over 34% versus the prior year, and I think the statistic that we always talk about that's just really critical into our success and our foundation is our free cash flow. And our adjusted free cash flow of over $50 million is up 45% versus the fourth quarter last year and that takes our leverage down to 5.2, which is already down a half a term since the acquisition six months ago. So again, that continues to be critical to our success and that strong cash flow continues to be important to us. In terms of the kind of a little bit of a why, we have consistently, in good times and bad, spent money behind marketing to support brand building programs and it's achieved results for us. A couple of examples, Clear Eyes, for the very first time this quarter achieved number one market share in the redness segment, which is huge for us. A solid cough/cold season, all right, coming off a very poor one year before, not only a solid cough/cold season, but you can see Chloraseptic and Luden's gained over four share points, and that was driven primarily through digital marketing where we've been spending more and more money and we're obviously getting the bang for the buck. And finally, Little Remedies continues to have very strong consumption gains across all segments and that's as a result of really an integrated program in terms of TV and digital marketing support. So with that, if you turn to slide 6, like I said, I'd like to step back and take a moment and just take a look at the total year FY 2015 in review. And on slide 7, I think what I'd say is FY 2015 was a year of great execution for us in terms of focusing on the value creation drivers that contribute to our success. First and foremost, and I'll talk about each of these a little bit more, organic growth in our core OTC and international, we continue to put focus behind it. It continues to yield dividends for us. I'd also want to talk about the fact that our portfolio, if you look at how our portfolio has worked over time and the results it's achieving, we're really doing exactly what we've said we were going to do. Third, from a margin standpoint, we continue to gain gross margin, and again, as we've said throughout, our bottom-line EBITDA margin is terrific. We want to take that gross margin expansion and continue to reinvest it in the business and we've been doing that with some success. Fourth is our free cash flow, which has been very consistent, and as I said, increasing over $50 million this quarter. And then finally, if you step back and look at all our FY 2015, again, our proven and repeatable M&A strategy with two acquisitions this year certainly contributed to our success. But if you look at those things in terms of, first, how they contributed to FY 2015's success, the second thing to note is they also put us in a very strong position for FY 2016 and beyond. With that, if you turn to slide 8 to go through a little bit in terms of our growth trends, the top part is consumption, consumer takeaway. The bottom part of the chart is shipments. And you can see on the left-hand side is FY 2012, FY 2013, FY 2014 and FY 2015, you can see FY 2015 was a very strong year for both consumption growth and shipment growth. And as importantly, you can see on the right-hand side of the chart, it shows what happened by quarter and how our growth has accelerated both in terms of consumption and shipments throughout the year, and the third quarter and fourth quarter had been extremely strong for us. With that, if you'll turn to slide 9, and I referenced this earlier, the fact that our core OTC growth has been very broad-based and it's really been led by some of our largest brands. So we got growth across the portfolio, and 84% of our OTC portfolio had consumption growth in FY 2015, which we're very pleased with. On the right-hand side, if you look at some of our largest brands, you can see how well they're doing from a year-over-year sales growth number. In addition, you can see how those numbers are increasing as the year has gone on. So, as I've said, the fundamentals are very strong as we head into FY 2016. Slide 10, again, I referenced this earlier about achieving the desired results. I think it's important if you step back to a few years ago, we talked about our core OTC portfolio represented 66% of our revenue. So, our core OTC portfolio and our international business now represent 78% of our portfolio. That's a significant change over the last few years, and that's really the part of the portfolio we're now investing in for growth for the future. And you can see FY 2015 at organic growth excluding PediaCare was plus 2.9% in the investment area and nearly flat in the manage for cash area, leading to 2% organic growth for the full fiscal year excluding PediaCare. Turning to slide 11, again, in terms of how we're supporting the business, that margin expansion is really helping us. Our margin expansion and our G&A synergies with our acquisitions is what's helping us increase our A&P. And if you look at just five years ago where we spent less than $40 million, this year, we're spending about $100 million in A&P, and we believe that's the right thing to do in terms of building brand equity for the long-term. Slide 12, just a couple of examples of areas that we're focusing on in terms of our marketing spend. I think the first that we've talked about quite a bit is we really believe that the pipeline for new products and what we've done the last couple of years that we're just getting started, and if you look at some of the latest introductions, Dramamine Naturals was just introduced and we're seeing strong success already. And you can see Compound W we had a new introduction that came in the fourth quarter as well, as well as some things with Fiber Choice, Goody's and Little Remedies. So, this is an area that we brought focus to over the last couple years. We had success in FY 2015 as a result of it. And more importantly, we really are well-positioned for FY 2016 and FY 2017 with regards to new and innovative product. In terms of marketing support in the marketplace, we've had terrific success in terms of this year, in-store merchandising on Luden's specifically, which has led to terrific growth, off-shelf merchandising. And we've also had terrific success in terms of leveraging our sports marketing assets specifically Dale Earnhardt Jr. to get us merchandising in store that has led to continued success for Goody's as well. And then finally, we've talked about in previous calls about expanding our marketing toolkit, and no longer being a company that really is one dimensional, but doing things from a marketing, from a TV, from a sports marketing, from a digital marketing standpoint, and we continue to do that and expand that toolkit across all of our key brands. Slide 13 is Little Remedies, and Little Remedies had a terrific year and we believe Little Remedies' differentiation really positions it well for long-term success. Little Remedies will be our lead pediatric brand moving forward because of that differentiation in the marketplace versus the competitive brands. And you can see the growth that new products has helped deliver for Little Remedies, as well as we've done quite a bit of digital advertising around Little Remedies for really the last five years. And you can see the consumption trends, latest 20 weeks of plus, almost 4% and latest 12-week consumption trends for Little Remedies up nearly 9%. So we're quite pleased with the momentum of Little Remedies, we're also quite pleased in the competitive environment how Little Remedies' point of difference and differentiation versus the competition is resonating so strong with the consumers. Slide 14, we talked about this on the last call. We really have spent a lot of time and money candidly in FY 2015 in terms of learning about our fem hygiene platform that we bought six months ago. And we really believe that learning is going to position us quite well for our first $100 million brand. And specifically, we have a new ad campaign, TV ad campaign that kicks off this quarter. And I think the consumer insights that we found that will really be important as we move forward are Monistat's prescription strength cure without a prescription, so you can get it really on demand. And the second thing that resonates with consumer is the relief starts curing right on contact. So, those are going to be some of the key messages that we'll be getting out there. And as we've said, we also have kicked off and we're just at ACOG, which is one of the major trade shows for the healthcare industry two weeks ago, we are developing very strong relationships with the healthcare professional community, employing a sales force and doing quite a bit with that group that we intend to commit to for the long-term and we believe will really be pivotal to our long-term success for Monistat. Turning to slide 15, as I said previously, again, that cash flow is really critical to our success. If you look in the upper right-hand corner, we really delivered significantly more free cash flow this year than we gave guidance to at the start of the year and we ended up with $164 million in free cash flow in FY 2015. That exceptional free cash flow has allowed us to pay down debt and in a significant way. And you can see here which we do for similar type acquisitions in the future that we have done in the past, we would have approximately $1.5 billion of traditional debt capacity available by the end of this year. That – to put it in perspective, that $1.5 billion is the aggregate amount more than the aggregate amount of our two largest acquisitions. So, we are building significant capacity for M&A. Slide 16 talks a little bit about M&A in terms of – this has really been critical to our success. I think it's – I keep using the words it's proven and it's repeatable, and we're doing it in a very favorable M&A environment that continues to be very favorable as you can see with what's going on over the last few weeks in the OTC and the healthcare business. As I said, we completed six acquisitions in the last five years for total enterprise value of about $2 billion. And as Ron will talk about at the end, we'll continue to be aggressive and disciplined in our M&A strategy moving forward. If you turn to slide 17, I like this slide and really the next slide because it helps really put in perspective how our portfolio had morphed over the last five years. So, you can see the first slide on 17 says, well, what were our key brands and the key category platforms which we participated in back five years ago, and you can see the brands in there. If you turn to slide 18, you can really see how that's changed dramatically. And I think the conclusions are, number one, we're building a great portfolio. And second of all, it really talks to the power of the portfolio. So, I'd give you a couple examples. Clear Eyes, we've had great success with Clear Eyes in the C-Store channel this year in particular because of our portfolio and the strength of BC and Goody's in that C-Store portfolio. The second example is, as we've said, PediaCare, with the return of the competing brands, has had a rough year but the thing to note is given the power and size of our portfolio, no one brand can drive our portfolio success over the course of a year. It's really the power of the entire portfolio that determines our success, so we're excited about that. Slide 19, I think the strategy has clearly delivered strong financial performance. You can see our sales CAGR of about 20% per year. Our EPS and free cash flow CAGR of about 23% per year over the last four years to five years, we're very proud of and believe we can continue to deliver the results over the long-term. So with that, I'll turn it over to Ron.
Ronald M. Lombardi - Chief Financial Officer: Thanks, Matt, and good morning, everyone. So, let's begin on slide 21. We'll take a look at some of the highlights for the fourth quarter. As Matt described, we're really very pleased with our fourth quarter and full year results, including our record revenues for both period and the very strong organic growth of about 2.5% for the fourth quarter. This quarter continued our trends of strong organic sales growth across our core OTC brands and international portfolios. This resulted in extremely strong fourth quarter and full year results. Our results for the quarter included not only solid revenue and EPS growth but excellent, strong free cash flow generation and the strengthening of our overall financial profile. If you look down at the bottom of page 21, you'll see that total revenue grew about 33% during the quarter to $190 million, a record for the fourth quarter. Our adjusted EPS growth was ahead of the sales growth at about 34% to $0.47 for adjusted EPS, and then finally, that excellent free cash flow growth of about 45% to just over $50 million during the quarter. So again, we're very pleased with the results during the quarter. Turning to slide 22, we have our consolidated fourth quarter and full year results. As a reminder, today's information includes adjusted results that are reconciled in our earnings release. Our net revenues increased again about 33% in Q4 and about 20% for the full year with full year sales coming in at approximately $715 million. These results were driven by continued strengthening consumption trends across our core OTC brands, as well as in our international portfolios. These results include about $2 million of negative FX impact in Q4 and about $4 million on a year-to-date basis. We expect currency fluctuations to impact our business approximately $10 million in fiscal 2016 based on current FX values for the Australian and Canadian dollars. Our fourth quarter gross margin was just about 58% compared to 55% a year ago and this quarter was the highest level on the past six quarters and was largely in line with what we expected. We anticipate continued improvements in gross margin in fiscal 2016 and expect to be at about 58% for the full year next year. In terms of A&P, we came in at just over 13% of sales for the fourth quarter and just about 14% for the full year with significant dollar increases over the prior year period. We expect fiscal 2016 A&P levels to continue to increase above 2015, with gross margin gains being invested in higher level A&P levels, as Matt described earlier. Adjusted G&A came in at about 8.5% of revenues in the fourth quarter, and about 8% for the full year, and again was in line with what we expected. G&A for fiscal 2016 should be in the 8% of sales range. Finally, our adjusted EPS for both periods continue to grow faster than revenues as a result of operating leverage and margin gains. Fourth quarter EPS growth was approximately 34%, and full year EPS growth was about 22%, which were both well above revenue gains. Turning to slide 23, we have the details to our cash flow for the quarter and the year. We experienced extremely strong adjusted free cash flow growth of approximately 45% for the quarter, while continuing to strengthen our financial profile and pay down debt. We generated just over $50 million of adjusted free cash flow during the quarter and $164 million for the full year. Our excellent cash flow continues to be generated from our industry-leading strong and consistent EBITDA levels, low fixed asset additions and a meaningful deferred tax asset benefit. We're able to reduce our net debt again by about $50 million during the quarter, and as Matt mentioned earlier, we reduced our leverage ratio to approximately 5.25 times, which was a full 0.5 reduction from where we were just six months ago right after the Insight acquisition. We forecast further reductions in the leverage ratio to approximately 4.4 times by the end of fiscal 2016. This leverage reduction is expected to create over $1.5 billion of M&A capacity and we'll continue to support our M&A objectives going forward. Turning to slide 25, we'll take a look at the FY 2016 outlook and the road ahead. Brand building has been at the center of our value creation over the last five years and will continue to be going forward. We've executed against our three-pronged strategy which has delivered significant results over the last five years, and the power of our portfolio has us well-positioned moving into fiscal 2016. Brand building and a focus on new product development and innovation will continue to be key focuses in fiscal 2016. And as Matt described earlier, our Little Remedies brand and its point of difference will be the center of our pediatric efforts going forward. In terms of Insight, fiscal 2016 will be an investment year for the Insight portfolio. Our investments will be targeted at the healthcare professionals and new advertising for Monistat and both will launch in the first quarter. We will also prioritize the development of our new product pipelines for our women's healthcare platform to support long-term growth objectives. M&A has been an important part of our strategy, and aggressive and disciplined M&A will continue to be a focus going forward. Our consistent and industry-leading cash flow has us rapidly de-levering and is creating meaningful M&A capacity to support it. Industry dynamics and big pharma portfolio rationalization is expected to continue and we're well-positioned to address opportunities as they arise going forward. Finally, for our FY 2016 outlook, we head into the year with strong momentum in our core OTC brands and our international businesses. Consumer confidence is improving and retailers are cautiously optimistic while remaining bottom-line focused. Our specific outlook for fiscal 2016 has revenue growth of 10% to 12%, again, including the impact of approximately $10 million of FX due to the lower Canadian and Australian dollar rates. We expect full year organic growth to be between 2% and 3% with first half revenue expected to be at plus 20% to 23% over last year, largely due to the timing of last year's acquisition. And finally, second half growth is expected to be at 1.5% to 2%. Our adjusted EPS is expected to be ahead of revenue growth at 10% to 13% with continued A&P investments especially behind the Insight brands. Our excellent free cash flow is expected to grow approximately 7% and we expect to generate $175 million or more of free cash flow for the year. Turning to slide 26, we'll wrap things up with a few comments on our strategy and key drivers of long-term value before we open things up for questions. Our strategy is in place and proven, and we will continue to focus on brand building and growing our core OTC brand and international portfolio. We've grown this portion of our business, as Matt mentioned earlier, from 67% of sales to 78% of sales over the last five years, and we look to grow to a target of 85% over time. We like our asset-light business model, its proven ability to grow and flex with the business, and the industry-leading financial profile that it helps create for us. Our strong and consistent free cash flow will continue to rapidly de-lever and build M&A capacity. And finally, we will remain aggressive and disciplined in M&A and feel well-positioned to capitalize on the industry dynamics and opportunities going forward. So with that, why don't we open up the call for questions for Matt and I?
Operator: Thank you. And your first question comes from the line of Joe Altobello from Raymond James. Please go ahead.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Thank you. Good morning, guys. First question, wanted to talk about PediaCare a bit. It sounds like you guys are starting to deemphasize that brand somewhat. I imagine that has to do with some of the competition you are seeing from Children's TYLENOL. So I guess, first, can you talk about that change in your strategy? And second, maybe what you are seeing in terms of the overall spending level for that brand and from competition?
Matthew M. Mannelly - President, Chief Executive Officer & Director: Yeah, Joe. I'll be happy to talk about that. If you go back to the conference calls over the last two years, we've said we're really going to look at this over two seasons and see how things settle out. And so with the end of this cough/cold season as we enter 2016 with our annual operating plan, the analysis and the strategies that we developed, we said we're still very bullish on the pediatrics market. We just believe Little Remedies is more differentiated than PediaCare vis-à-vis the competition. So that's where we will be investing more A&P dollars. And as we've done in the past with our portfolio, we have to make choices in our A&P spending. So, we're going to pull back the A&P spending a little bit in PediaCare, we're going to put it behind Little Remedies because it's more differentiated. We're still going to support PediaCare. We have some exciting things with PediaCare in terms of target audiences and things we're doing with the Hispanic community with PediaCare. We also have some exciting things that we're looking at in terms of channels of distribution and better leveraging PediaCare in the dollar channel. So, we are going to shift strategies. We're going to deemphasize it a little bit. As I said earlier, one, we've said we're going to assess it after two years and; two, I think what you saw this year, the power of the portfolio was even though that competitive onslaught and the marketing spend continued into the second half, we still saw terrific overall growth for the company and the OTC portfolio. Does that answer your question, Joe?
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Got it. It does. Thank you. And secondly, on Monistat – yeah, sure.
Ronald M. Lombardi - Chief Financial Officer: Joe, just to add two comments to that. If you take a look at our total organic consumption trends in Q3 and Q4 in the heart of the cough/cold season, to Matt's point, you'll see that we were able to still have a very nice performance during that period.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Right, right. Okay. And then in terms of moving to Monistat, that brand has started to grow with you guys owning it even before the direct marketing to the OB/GYN. So, what's driving that and how much upside do you see for that brand in the next year?
Matthew M. Mannelly - President, Chief Executive Officer & Director: Well, I think what's driven it to date, Joe, is some basic blocking and tackling that we did when we bought the business in terms of aligning the correct pricing across the portfolio in some of our key customers. So, little things like that make a difference to the portfolio. And I think over time and I think it's over the next couple of years, we see terrific opportunities and upside for Monistat. That's why we're going to be investing significantly in it. I think I would note though the healthcare professional play is a long-term play. That's not something we're doing to drive revenue in 2016. We're really doing it to drive it in 2017 and 2018 even more.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Got it. Thank you, Matt.
Matthew M. Mannelly - President, Chief Executive Officer & Director: Thanks, Joe.
Operator: Thank you. And your next question comes from Carla Casella from JPMorgan. Please go ahead.
Carla M. Casella - JPMorgan Securities LLC: Hi. My question was related to the additional ad and promo spend. Did you give a magnitude of how much additional spend? And if we look specifically at second quarter when you are spending behind the Monistat spending in the professional trade, how should we look at the second quarter spend versus last year?
Ronald M. Lombardi - Chief Financial Officer: Carla, we really don't break out expectations on a quarter-by-quarter basis. We do see some fluctuations between quarters. But our focus in our investment for the entire year of fiscal 2016 will be significant, especially behind the Monistat brands and initiatives we've got going on for healthcare, professional, and updating our advertising and TV commercials that we expect to do.
Carla M. Casella - JPMorgan Securities LLC: Okay. I guess I was more just wondering is it – are you moving the dollars around in this coming quarter, I guess, first fiscal quarter? Or will we see more of the ad and promo be weighted towards this first quarter than it was in the past?
Ronald M. Lombardi - Chief Financial Officer: We'll see increases in the first half of the year, Carla, between those – the first and second quarter year-over-year as we begin to get investments behind the Monistat and some of the other initiatives we've got going on.
Carla M. Casella - JPMorgan Securities LLC: Okay, great. Thank you.
Operator: Thank you. And your next question comes from the line of Jon Andersen from William Blair. Please go ahead.
Jon R. Andersen - William Blair & Co. LLC: Good morning, everybody.
Matthew M. Mannelly - President, Chief Executive Officer & Director: Hi, Jon. How are you?
Ronald M. Lombardi - Chief Financial Officer: Good morning, Jon.
Jon R. Andersen - William Blair & Co. LLC: I'm good. I'm good. The first question I had is just more on the fourth quarter. The top-line number was stronger than – quite a bit stronger than the guidance. I think for the guidance for the year we were looking for like 18% and came in closer to 19.5%, which had a – and that was driven by Q4 results. So what – just curious what came in stronger if you can parse that out? Was it a particular brand or collection of brands? Was it the international business? Was it the strength of the cough/cold season? Any help there would be great.
Ronald M. Lombardi - Chief Financial Officer: Sure. First thing I'll mention, Jon, is that the cough/cold season, the incident levels trended all the way up through the end of the fourth quarter, which were a bit above what we expected going into the fourth quarter, right? That's always a tough call. Another thing I'll call out is the continued strong performance of Clear Eyes. As Matt mentioned earlier, we took – became the number one brand in the redness category. And then overall, continued strong trends in our core OTC brands in our international portfolio.
Matthew M. Mannelly - President, Chief Executive Officer & Director: Jon, I think it's the consistent A&P spending we've been putting behind the business. As I said, we yielded broad-based consumption gains across the core OTC, which we're really happy about.
Jon R. Andersen - William Blair & Co. LLC: Okay. That makes sense. I guess sticking with advertising and promotion, Ron, I think in the prepared comments, you mentioned that you expect A&P in 2016 to be above the 2015 level. Just for clarification purposes, do you mean above on an absolute level or on a rate basis as a percent of sales, or both perhaps?
Ronald M. Lombardi - Chief Financial Officer: Both. We expect it to take gross margin gains and invest them in higher levels of A&P, which will result in both a percent and dollar increase year-over-year.
Jon R. Andersen - William Blair & Co. LLC: Okay. That's helpful. The gross margin rate of 68% kind of the run rate level is – I mean obviously, that's a terrific gross margin rate. Is that the right way? I guess you will have a full year of impact from Insight next year. Is that a level which we should think of as a run rate level for a longer period of time, or I guess are there other internal initiatives and/or I guess future M&A that could even move that higher over time?
Ronald M. Lombardi - Chief Financial Officer: Yeah. For 2016, as I mentioned earlier, we expect to be at approximately 58%. So, the fourth quarter run rate will be where we start to get into for fiscal 2016. And then, I think we've mentioned this in the past, we've got mid-term objectives of growing our gross margin closer to 60% over time. We've got cost saving initiatives that we'll execute against over time, and certainly, as we grow our OTC business and it becomes a larger portion of our total sales and household continues to become a smaller portion, we'll get a benefit of mix. And again, it's our intention to take those increasing margins and invest them in higher levels of A&P going forward.
Jon R. Andersen - William Blair & Co. LLC: Okay. Just a couple of quick housecleaning questions. The G&A spend in the quarter was – I think you've had Insight for the full quarter in the third quarter, so the step-up from $14 million to $16 million on the G&A line was a bit more than we had modeled. Was there simply some year-end true-up activity there or how should we think about that for 2016?
Ronald M. Lombardi - Chief Financial Officer: Yeah. We tend to have slightly higher G&A in the fourth quarter versus other quarters in the year. And then the other thing that gets classified in G&A is we did have some FX losses during the quarter that will get recorded in G&As. That was a small amount of the increase over 8% as well.
Jon R. Andersen - William Blair & Co. LLC: Perfect. Last question, the D&A and CapEx for 2016, I know CapEx is generally modest, but if you can help us with that it would be great.
Ronald M. Lombardi - Chief Financial Officer: Sure. For D&A, we were just under $6 million in the fourth quarter. So, if you annualize that out, we would expect around a $24 million number for next year. And then, D&A, we spent $6 million this year. You could use that as an estimate for 2016 as well.
Jon R. Andersen - William Blair & Co. LLC: Okay. Thanks, guys.
Ronald M. Lombardi - Chief Financial Officer: Thanks, Jon.
Operator: Thank you. And your next question comes from Frank Camma from Sidoti. Please go ahead.
Frank A. Camma - Sidoti & Co. LLC: Good morning, guys.
Matthew M. Mannelly - President, Chief Executive Officer & Director: Good morning, Frank. How are you?
Ronald M. Lombardi - Chief Financial Officer: Good morning, Frank.
Frank A. Camma - Sidoti & Co. LLC: Good. Hey, I was wondering if you could just talk briefly about the inventory levels at retail. You mentioned that it sounds like the retailers, from your perspective, are becoming a little more optimistic, so I was wondering if you could just address that.
Matthew M. Mannelly - President, Chief Executive Officer & Director: Yeah. I don't think we've talked about this in other quarters, Frank. Third quarter and now fourth quarter, we're not seeing the broad-based pressure on inventories that we saw for several quarters. It doesn't mean we're not seeing some inventory pressure from individual, like key accounts because we're seeing – you still see a little bit of that. But I think in general, also when you look at our consumption trends versus our shipment trends over the last few quarters, our retail inventory is in good shape. So, I think Ron used the term retailers are cautiously optimistic, but they're still bottom-line focused as we head into 2016, right?
Frank A. Camma - Sidoti & Co. LLC: Yeah. Okay.
Matthew M. Mannelly - President, Chief Executive Officer & Director: So, they're not going to take their eye off it. We're not seeing the squeezing we saw 12 months ago on a broad-based level. But clearly, like I said, that's why the words are cautiously optimistic. The retailers continue to look at that, but we're not – we don't see significant headwinds right now.
Frank A. Camma - Sidoti & Co. LLC: Okay. Good.
Ronald M. Lombardi - Chief Financial Officer: And we haven't benefited from any recovery in inventory at retail yet. We're seeing a narrowing of consumption to shipments.
Frank A. Camma - Sidoti & Co. LLC: Okay. Understand. And then the other question just is on, I know it's obviously a smaller component, but household cleaning for about a year had actually seen some not only stabilization but growth in this quarter. It actually came in at my expectation. But was there anything driving that in this quarter, the slight decline here?
Matthew M. Mannelly - President, Chief Executive Officer & Director: Frank, household – some of that is dependent on programs and programs by channeling key customers, so there's always some movement around in terms of throughout the year. So, I don't think there's any fundamental change. It's just a shift in programs quarter-to-quarter.
Frank A. Camma - Sidoti & Co. LLC: Okay. All right. Thanks. That's all I have for now.
Matthew M. Mannelly - President, Chief Executive Officer & Director: Thanks, Frank.
Operator: Thank you. And our last call comes from Linda Bolton Weiser from B. Riley. Please go ahead.
Linda B. Weiser - B. Riley & Co. LLC: Hi. I was curious, just on PediaCare, as you deemphasize that, have you already lost any distribution or do you expect to in the future? And how does the distribution of PediaCare compare with Little Remedies? So, for example, is PediaCare in Walmart but Little Remedies isn't. Or are there any retailers that you could lose or actually with Little Remedies, is there opportunity for distribution gain as you put more behind it? Thanks.
Matthew M. Mannelly - President, Chief Executive Officer & Director: Yeah. Linda, for us – it's similar for some other brands as well, but for Little Remedies and PediaCare, we have distribution for both those brands in really all the major accounts. Our distribution losses and our distribution opportunities are by SKU, not really for the brand. So, this is why we believe Little Remedies has more upside because of its point of difference in terms of to grow and to gain distribution. And to answer your question, PediaCare did take some distribution and facing losses this year already. So, that's already happened.
Linda B. Weiser - B. Riley & Co. LLC: Okay. And are there any margin differences between the two brands in terms of the SKUs that are offered in each line or is it very similar in terms of the margin profile?
Matthew M. Mannelly - President, Chief Executive Officer & Director: Very similar margins across those. I mean, they're similar – they're liquid product, so very similar margins.
Linda B. Weiser - B. Riley & Co. LLC: Okay. And then I was curious about your guidance on organic sales for the year. For FY 2016, it's quite robust at 2% to 3%, but you said, I think, for the second half, it would be a little lower at 1.5% to 2%. So, is that a matter of just the comparisons that are harder in the second half, or is it launch schedule and what you have planned or the advertising cadence or what is it that's making it lower in the second half of the year?
Ronald M. Lombardi - Chief Financial Officer: It's really the comps, Linda.
Linda B. Weiser - B. Riley & Co. LLC: Okay.
Ronald M. Lombardi - Chief Financial Officer: We have very strong Q3 and Q4 results as well as a fairly robust cough/cold incident levels this year.
Linda B. Weiser - B. Riley & Co. LLC: Okay. And just finally, the longer-term front, I know a lot of – some of the larger household and personal care companies like Procter & Gamble are commenting on as they spend more on digital, you are actually seeing reductions in the advertising and promo ratio over time is what they are saying to expect. It doesn't sound like you're really thinking that way even though you are spending more on digital. But can you just comment on that as a longer-term trend phenomenon?
Matthew M. Mannelly - President, Chief Executive Officer & Director: Yeah. I think for us, given our spend levels, where we were and where we are today, we're not looking to gain more efficiencies in A&P (42:03). So, we're not moving to digital to gain more efficiency. We're moving to digital to gain more effectiveness with our consumers. So, we're not looking in here to internally squeeze the A&P to cut it back. We're looking where can we invest in A&P. So, I don't think for us we're saying that that number is going to come down over the next couple of years as a result of the move to digital.
Linda B. Weiser - B. Riley & Co. LLC: Okay, great. Thank you very much.
Matthew M. Mannelly - President, Chief Executive Officer & Director: Thanks, Linda.
Operator: Thank you. We do have another question and it's from Kevin Ziets from Citi. Please go ahead.
Kevin L. Ziets - Citigroup Global Markets, Inc. (Broker): Hi. Good morning. Thanks for taking my question. It's more of a bigger picture question on, I guess, celebrity attachment to your products. It seems like Clear Eyes and Goody's are examples where you have that and it has really worked. And I don't expect you to say necessarily on a specific brand basis, but if you could just comment in general whether those types of products where you attach a celebrity to the marketing campaign whether they have better growth in general and better margins all-in than maybe some of the other brands and whether you would think about doing that with some of your newer brands, maybe Monistat or something else?
Matthew M. Mannelly - President, Chief Executive Officer & Director: Yeah. Kevin, I think it's a good question. I think, again, what I tried to say earlier was look at our marketing mix portfolio in our toolkit and how it's changed over the last five years. We used to be basically, turn on the TV and drop a couple of coupons. Today, we're much, much more than that whether it's celebrities that we're using for different brands, whether it's sports marketing events, whether it's digital blogging, et cetera. But I think we're going to continue to expand our toolkit. I think that's what marketers do. And I think we look at for all our different brands, what are the assets that make sense whether it's celebrity or other things, but we're going to continue to do that and we'll probably continue to expand it. And the beauty is in this industry, gross margins are healthy enough that if you do it the right way, you can afford to do that successfully.
Kevin L. Ziets - Citigroup Global Markets, Inc. (Broker): That's great. Thank you very much.
Operator: Thank you. I would now like to turn the call back over to Matthew Mannelly for closing remarks.
Matthew M. Mannelly - President, Chief Executive Officer & Director: Okay. Well, thanks, everybody. Just a couple of closing remarks as we transition to Ron, given that this will be my last call. I think as trite as it sounds, it's about the people and I'll start with the passion of the team members of Prestige that have built this company and we'll continue to build it. It's also about the people on this call, the analysts who really have discovered us and written about us and our story along the way. And I can tell you, whether it's the conferences or really the market trips that we've spent with Joe Altobello, John San Marco (45:06), Frank Camma, Jon Andersen and Linda Bolton Weiser, how enjoyable it's been and how much we respect the work that you've done and the investments that you've made in Prestige, so we thank you for that. And finally, it's about the investors as well. And we do a lot of meetings, a lot of one-on-ones with investors, and I don't mean to exclude anyone here, but a couple of examples are – I can tell you it's enjoyable to go up to Boston every couple of quarters and sit in one of the big Fidelity conference rooms and it's like a firing line of about 10 people asking you questions. And that's the fun part of the business. It's also enjoyable to deal with people like the people at First Manhattan who've been with us the entire ride and continue to believe in us. And it's enjoyable to deal with people like BlackRock who's built up their position considerably in the last couple of years. So, we – that part of the business is an enjoyable part of it. And I'll just go back to the Prestige people. Our culture is really built on leadership and we talk about it a lot here and the fact that we have 200 leaders in the company and what that does is it allows us that when one leaves, we have plenty of other leaders to take us to the next level. So, I'd like to thank the 200 leaders for what they've done and more importantly what they're going to continue to do for Prestige, so thank you for that. So, with that, we'll end the call and we appreciate everyone's time and have a good day. Thank you.